Operator: Greetings, and welcome to the La-Z-Boy Fiscal 2017 Second Quarter Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to Kathy Liebmann, Director of Investor Relations and Corporate Communications. Thank you Ms. Liebmann. You may now begin.
Kathy Liebmann: Thank you, Rob. Good morning and thank you for joining us to discuss our fiscal 2017 second quarter results. With us this morning are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. Slides will accompany this presentation and are available for viewing through our webcast link. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President, and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon, we reported our fiscal 2017 second-quarter results. For the period on slightly down sales, we improved our consolidated operating margin, turned in a strong performance in our upholstery segment, increased earnings per share over last year's comparable period, and generated $18.3 million in cash from operating activities; and yesterday, our Board of Directors voted to increase the quarterly dividend to shareholders by 10% to $0.11 per share. During the quarter, we also continued to invest in our business and acquired four La-Z-Boy furniture gallery stores in the Canadian market as we continue to grow our company-owned retail base as part of our overall 4-4-5 store build-out strategy; and subsequent to quarter end, we acquired an additional nine stores and signed an agreement to acquire the license from the La-Z-Boy brand in the U.K. and Ireland markets. I will speak about these acquisitions in more detail in a few minutes. Most importantly, however, after moving through what I would characterize as a rather tepid summer and early fall, I'm pleased to say we have seen some positive indicators with respect to the tone of business. As we shared in our press release, our same-store sales results in October were better than the August-September period and we believe our November results will be an improvement from October. So as we move through the holiday selling season, which runs through Presidents' Day in February, our strategic plans with respect to advertising, merchandising, and promotions remain intact as we gear up to capitalize on the strength of the period as it is meaningful to the back half of our fiscal year in terms of sales and earnings. Before talking about the second quarter, I will take a moment to put the first half of fiscal '17 in perspective. For the first six months, sales were off 1% and we earned $0.03 more versus the comparable fiscal 2016 six-month period. While we are addressing things from a sales perspective, I am pleased with our operating performance as it demonstrates the efficiencies with which we continue to run the business. It also highlights the strategic advantage inherent in our business model with multiple levers to pull, given our integrated business where we are a manufacturer, importer, and retailer. And as volume grows, we will be able to leverage this model and deliver improved operating performance. I will now turn to a brief discussion on each of our operating segments; first our two wholesale segments, upholstery and casegoods. Our upholstery operating margin of 12.7% was the strongest we've experienced in the second quarter since fiscal 2003. We've spoken a lot over the past year about our supply chain and the efficiencies it is delivering in terms of procurement and plant productivity. This coupled with the benefits from our ERP system, which was implemented throughout our La-Z-Boy branded facilities about a year ago is driving our operating performance. With an improved inventory position, our workflow is more tightly managed, enabling us to enhance our speed to market proposition. As a result, we're shipping 96% of all of our orders in four weeks or less. This is great for both our dealer base and the ultimate consumer was very happy to receive her custom furniture so quickly. As a result of the weaker environment for home furnishings during the quarter, our wholesale upholstery sales were off 3.3% compared with the second quarter of last year. With that said, our team is implementing a number of initiatives to drive sales. For example, we have strengthened our opening price points, and consumers are exposed to better looking value priced items from the La-Z-Boy assortment at all times, both in the stores and on our website. With regard to the website itself, we are encouraged by the positive trends we are seeing in traffic, resulting from new marketing programs and the optimization of current programs. We are also making changes to the site to more fully engage the consumer and improve the user experience and are seeing consumer show strong interest in the design tools and customization options available on our site. We continue to believe that while most consumers prefer to purchase our products in the store, many utilize the Internet for research. So it is imperative that we provide them with a robust website that includes not only product information and pricing, but one with options for customization and one that highlights the many design services available from La-Z-Boy. On the marketing side, we are evolving the Live Life Comfortably brand platform and produced two new commercials featuring Brooke Shields as our brand ambassador. The first commercial highlights the iClean stain resistant fabric that was reduced at the April Highpoint furniture market. We expanded the line at the most recent market in October and with it now on retail floors and the election season behind us, we began airing the iClean commercial two weeks ago. The second commercial highlights our in-home design program, and we expect to begin airing that one during the fourth quarter. The creative content of both commercials are compelling and we look forward to the attention they will capture for our brand and the vast offerings associated with it. Subsequent to quarter end, we signed an agreement to acquire the license for the La-Z-Boy brand in the United Kingdom and Ireland from our sales and distribution partner. We expect to close on that agreement in January. Annual wholesale revenue for this business based on the current exchange rates is approximately $42 million, and because of the licensing agreement in place today, we are already capturing about half of that sales volume. The La-Z-Boy brand is a valuable asset with vast appeal around the world. Historically, the company established license agreements or some type of partnerships in various locales outside of North America as those are means to sell wholesale product without taking on the risk in the markets where we didn't have local on the ground experience. Over time, however, having learned more about other markets and with a broader international team in place, we see the prospect to monetize the brand's value internationally. For the second quarter, written same-store sales for the La-Z-Boy furniture gallery network declined 4.4% versus last year's comparable quarter. However, as the quarter progressed, we did see an improvement with October down 1.9%. I would also point out that there was no one pocket of strength or overall weakness across the store system. Typically we see that, but in this case we saw the slight decline across the Board. In addition to the overall softness throughout the industry during the period, we believe approximately 1% of the decrease related to the cannibalization we spoke of last quarter. As we fill out existing markets where we already have stores, we are experiencing some of his cannibalization, which affects same-store sales. To reiterate what we said last quarter, there are a number of markets where we need more stores based on the demographics of that particular market and when we add a store to satisfy that demand, sometimes the existing store or stores in the market may lose some sales, but net-net, the market overall is performing better and contributing to sales and profitability at both the wholesale and retail levels. With respect to our 4-4-5 strategy, we along with our independent dealers are on pace to complete approximately 27 projects for fiscal '17. These include new stores, remodels and relocations and we expect to end the year with 11 net new stores for a total of 349 La-Z-Boy furniture gallery stores with 116 in the new concept design format. During the second quarter, the network opened three new stores, remodeled one and close two and for the third quarter of fiscal '17 four new stores, one relocation and three remodels are planned throughout the network. Now let's turn our attention to casegoods. With an 11% operating margin for the quarter compared with 9.3% in last year's period it is evident we have streamlined the business with a pure import model. Fueled by strong teams in the U.S. and in Hong Kong, we are flowing product well and have increased our service positions for our most popular groups. On average we're shipping product at about six days to our dealer base from the time of order. At the fall furniture market, we introduced some great new transitional collections at key price points, which received a very positive response from retailers. Kincaid also launched a renewed effort to open Kincaid gallery accounts by introducing new point-of-purchase displays, showcasing its uncompromising commitment to quality solid wood construction. Kincaid upholstery also showcased a new program called Premier Colors, which leverages our domestic finishing capabilities. Importantly after two years of refreshing our product line, we believe our casegoods portfolio is now well-balanced with many transitional looks to appeal to today's consumer who tends to live less formally. Now let's turn to a discussion of our retail segment. In our retail segment, delivered sales increased 11.3% in the quarter versus last year's second quarter. We delivered sales for the core base of 111 stores included in last year's comparable period, decreasing 5.5%. Our 4-4-5 store buildout strategy is a key growth driver for the company as we endeavor to fully penetrate the North American market with La-Z-Boy furniture gallery stores. Between the new stores, the company is opening and those we are acquiring, including 35 acquired since we started 4-4-5 three and half years ago, we believe the company could potentially own almost half the store network by the time 4-4-5 is completed. During the quarter the company opened two stores acquired for the Canadian market and closed one. Subsequent to quarter end, we acquired nine stores in Northeastern Pennsylvania market with seven in that state, one in Dover, New Jersey and one in Middletown, New York. We acquire these stores from retiring independent dealer and husband-and-wife team. We expect the nine stores to contribute approximately $35 million in sales on an annual basis to the company's retail segment. These stores are profitable, have been quickly integrated into our retail segment and will be immediately accretive to the segment's profitability. I would like to take this opportunity to thank Alyssa and Frank Hager for their unwavering dedication and support to La-Z-Boy Incorporated over their almost 20-year tenure with the company. They have been great partners and we wish them all the best in their much-deserved retirement. As the company-owned retail segment continues to grow, we will be able to further capitalize on the combined wholesale, retail margin associated with our integrated retail strategy, which continues to deliver results. For the quarter, our operating margin declined to 2.8%, primarily the result of lower delivered sales for our core stores and the inability to absorb the high fixed cost associated with the retail business. Additionally during the quarter, we increased our marketing spend and spent to a higher anticipated sales plan without achieving the expected results. At the same time, we continue to run tests in a number of targeted markets as we did last quarter and while the up spend in these nine DMAs was indeed successful, it was not enough to make the difference in our profitability for the period. For the quarter on lower traffic, our conversion was positive and we experienced an increase in the average ticket driven by our in-home design sales and an increase in custom orders. We've also seen an expansion of our in-home program with our designers working with consumers to decorate their bedrooms and dining rooms, following living rooms and family room projects. While this has also benefited our casegoods group, importantly we have more satisfied consumer who will be more inclined to shop with us again. I will now turn the call over to Mike to speak about our financial performance.
Mike Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2017 second-quarter quarter were $377 million, down 1.6% compared with last year's second quarter. For the period, the consolidated operating margin increased to 8.8% from 8.7%. The company reported earnings per diluted share attributable to La-Z-Boy Incorporated of $0.42 compared with $0.41 per diluted share in last year's second quarter. With respect to earnings per share, our results came in higher than the range we anticipated reporting when we preannounced in October. In addition to converting better than we expected, our compensation cost came in under our estimate, driven primarily by a lower stock price. Our consolidated gross margin improved 1.4 percentage points in the quarter compared with last year's second quarter, with most of it a result of changes in our consolidated sales mix due to the increased waiting of our retail segment, which carries a higher gross margin than our wholesale businesses. Our gross margin in upholstery segment improved due to supply chain efficiencies and changes in product mix and in our casegoods segment, lower freight cost were primarily responsible for the increase versus the prior year period. Partially offsetting these improvements, was a lower benefit from a legal settlement of 0.4 percentage points compared with last year's second quarter in the upholstery segment. In our retail segment, our results were impacted due to an inventory sell-through associated with the Canadian acquisition, which related to the inventory being recorded at fair value on the acquisition date. Therefore we realized a lower gross margin was a result. The negative impact on our gross margin as a result of the Canadian inventory should lessen over the next several quarters as we work through it. Selling, general and administrative expenses as a percent of sales increased 1.3 percentage points in the fiscal 2017 second quarter, compared with the same period a year ago. Hereto the increasing size of our retail segment is contributing to the increase with 1.4 percentage points of the quarter's increase stemming from the growth of our retail business. This reflects the higher percentage of sales for SG&A at retail compared to the wholesale segments. As Kurt discussed earlier, we increased our advertising spend across all markets and ran test in select markets, resulting in our advertising expense as a percent of sales being 0.7 percentage points higher for the quarter versus last year's second quarter. Partially offsetting the increase was incentive compensation costs as a percent of sales that were 0.8 percentage points lower in the quarter, compared with the same period a year ago. Incentive comp cost were lower primarily due to a $6.97 decline in our share price during the period compared with a $3.52 increase in our stock price in last year's second quarter. Double of our share-based compensation awards are liability-based and their curative expense is adjusted at the end of each quarter based on the stock price in the last day of the reporting quarter. Also during the period, legal fees were 0.4 percentage points lower as a percent of sales compared with last year's second quarter. Now let me turn to the balance sheet. For the quarter, we generated $18 million in cash from operating activities. We ended the period with $106 million in cash and cash equivalents, $31 million investments to enhance returns on our cash and $9 million in restricted cash. During the quarter the company invested almost $11 million acquiring four La-Z-Boy furniture gallery stores, spend $5 million in capital expenditures, paid $4.9 million in dividends and spent $6.2 million to purchase approximately 250,000 shares of stock on the open market, which leaves 3.3 million shares available for purchase in our program. Our cash needs over the next two quarters will include funding our two recently announced acquisitions. In November we acquired the nine retail stores in Pennsylvania and we expect to acquire the license for the La-Z-Boy brand in the United Kingdom and Ireland. The license acquisition is scheduled to close in January with the cash funding taking place 90 days later for the terms of our agreement. Based on the current exchange rates, we expect to invest about $37 million on both these acquisitions. We don't expect the U.K. acquisition to add much in sales in the third quarter due to the proposed closing date, which is slated for late in the quarter. We expect our CapEx for the full fiscal 2017 year to be in the $30m to $35 million range. Given these uses for cash, our operating cash flows, stock market conditions and other opportunities that may come up to invest in the business to drive growth, we will be opportunistic with respect to our share purchase program. And lastly, our effective tax rate for the quarter was 36.1% compared with 36.2% for the second quarter in fiscal 2016. Our effective tax rate varies from the 35% federal statutory rate, primarily due to state taxes, less the benefit of the U.S. manufacturing deduction and foreign earnings in jurisdictions with lower tax rates than the U.S. Also as a reminder last year's fourth quarter had 14 weeks compared with this year's fourth quarter, which will have 13 weeks. Now I'll turn the call back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Mike. Looking ahead we are optimistic about our business prospects. In addition to being the most recognized brand in the industry, we believe the combination of being a manufacturer, retailer and importer, with a multichannel distribution model gives us a competitive edge in the marketplace. At the same time, our operations are lean and efficient, positioning us well to drive profitability with increased volume. As we move forward, I believe these factors combined with great product and marketing strategies will carry us into the future as we develop and expand our business. We look forward to updating you on our strategy as they evolve and thank you for your support of La-Z-Boy Incorporated. I'll now turn the call back to Kathy to start the Q&A.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Rob please preview the instructions for getting into the queue to ask questions.
Operator: Thank you. [Operator Instructions] Our first question is coming from the line of Bradley Thomas with KeyBanc. Please proceed with your question.
Bradley Thomas: Good morning, Kurt, Mike, and Kathy. I wanted to ask about margins in the upholstery segment, which were up nicely despite the volume decline. Obviously in your queue you referenced supply chain initiatives, so I was hoping you could just talk a bit more about what is it that's driving the margin improvement within the segment and maybe the opportunity that you see going forward there?
Kurt Darrow: I think the largest thing that is helping our margin is the ability to floor materials and our supply chain to our workers on the floor without interruption. It makes a lot of sense that if people continue to stay engaged throughout the day, without gaps and waiting for materials to come to the sales, that their productivity will be better. So we have a combination of some great work by our supply chain team to lower the input costs with our purchasing power and then record productivity in our plants about the number of units that are made per hour and those things are getting better as we continue throughout the year, and we would expect them to stay in that range. So our challenge with improvement or consistency with this kind of performance is primarily based on volume Brad and also raw materials. So if those two things stay in a positive tone, there was nothing unusual this quarter about our productivity or our earnings in our upholstery segment that benefited us. It's just a matter of those two things continuing at this level.
Bradley Thomas: Got you and as you all look at raw materials and input prices and how those have been trending off late, what's your latest thinking on the outlook for raw materials and potential needs to do price increases going forward?
Kurt Darrow: So, our bias as we sit here today would be that raw materials will probably pick up some in the second half of the year. To what degree, we're not positive yet, but we've got more bias that they will go up rather than go down and then they're not enough to affect anything that we’ve got planned for the second half, but if that trend continues as we head into calendar '17, we would make whatever pricing adjustments we had to at the April market.
Bradley Thomas: Great, and then lastly if I could, exciting opportunity for you all to deal within U.K. and Ireland, Kurt I was hoping you could just help me a little bit more broadly about how the leadership team thinks about international as an opportunity as you look forward?
Kurt Darrow: Well we tried to lay that out in our call notes Brad that our history has been that we've had a lot of partners around the world and La-Z-Boy didn't really want to take much risk and didn't have a lot to add in those local markets, but we had wholesale distributors that we could sell to, and I think La-Z-Boy is represented today by various partners in 40 plus countries. So we've always had a presence, but as we've gotten more experience and gotten to know our customers worldwide, some of them frankly are in the same position as our La-Z-Boy store owners, and they're looking to monetize their work and they're looking towards retirement. And we have more of an interest today in certain of those places that we think we can continue to advance our business there and move forward. So it's a fluid situation, it's little bit like the La-Z-Boy stores. I can't give a lot of guidance on when or how these things could or could not be acquired because it takes two parties on either side and we don't control all the timing, but if another opportunity presented itself that we thought was similar to what we have in the U.K., we would take -- we would take a very active interest.
Bradley Thomas: Great, I'll turn it over to others and thank you Kurt and looking forward to seeing you at our conference next week.
Kurt Darrow: We are too Brad. Thank you.
Operator: Thank you. Our next question comes from the line of Budd Bugatch with Raymond James. Please proceed with your questions.
Budd Bugatch: Good morning. I feel like I probably should begin this saying this is Budd for Bobby.
Kurt Darrow: That's good Budd.
Budd Bugatch: But Kurt congratulations on the quarter and to your team as well and you did note Mike there was a difference between what you guided or what you outlined in your release just before the October market and what you did -- which you were able to deliver and much of that seems to have come from the stock comp, but you also talked about improved conversion to where you thought it was going to be. Could you parse it out? The stock comp differential looked to me likely between $0.03 to $0.04 depending on how you calculate tax rate and the differential. Can you help us figure out what caused that difference and how much of it might be permanent?
Mike Riccio: It is probably about half and half of the additional earnings per share they're received because we have -- we had some comp benefit throughout the quarter, but when we released, the stock price obviously went down a couple dollars from there and we didn't have that included in our estimate. So I would say half was that and we looked at some spending and tried to cut some things out by the end of the quarter to make our conversion better when we saw that we were missing numbers. So we just -- we're able to do more than we anticipated by the end of the quarter. So it's about half-and-half. I don't think we'll spend that money in the second half of the year that we saved on the first half and some that was just better productivity in the plant that we anticipated as well on the lower volume, but we expect to continue to get productivity out of the plants and we expect that our sales volumes down to continue to try and look at our -- all of our cost to make sure that we're being compared within our sales versus our expense ratios.
Budd Bugatch: Okay. And is there any way for us for folks out in the Netherlands to get a feel at how to handle the stock comp that does have some volatility to it particularly because of that liability-based plant? Is there any way for us to get a better handle on it or is it just -- we just at the vagary of whatever the price is at the end of the quarter?
Mike Riccio: I think your latter statement is the truth. The stock differential of $10 in a quarter is pretty significant in how we do the calculation and then I would say that given what's happened in the market overall and our price coming back we'll have a -- we'll have a go in the other way in the third quarter if the third quarter would end today. It's just the ebb and flow of that. So we can't predict or give you any more advice Budd than what we have. Every year as we -- some of these share-based compensation plan when people cash in those shares, we lose some of the volatility, but it's still going to take us probably another three or four years to cycle through most of those before they expire. So we're stuck in this for a little while longer. We're trying to -- we'll and see what gives a better clarity on that as we move through this, but the stock market is about as unpredictable as I've seen. So we're struggling with giving any better guidance on that ourselves.
Budd Bugatch: You've surprised me by saying that Mike. The next question I have is on tax rate. Your tax rates are pretty well, pretty benign and relatively Vanilla as we look at them, but can you give us a feel for cash tax versus whatever you show on the provision on the statements. Is there much difference that we should be aware of?
Mike Riccio: We have obviously differences in our depreciation expense as we try and accelerate depreciation and try and reduce that down. I would say -- but we have things going the other way as well. So there's not a significant difference right now in our cash taxes versus our provided taxes. We may have a little bit here and there, but I don't -- but if I see something then I'll let you all know, but I am not aware of any significant timing differences making a big difference in the two.
Budd Bugatch: Okay. And lastly for me, on the acquisitions, can we get a feel of maybe some of the profit impact? I know you talked about the revenue impact, what do you think the accretion impact is of the stores and maybe of how will we see where's the geography of what we would see on the U.K. licensing deal? How is that going to show up in the financials?
Mike Riccio: I believe that the U.K. business will show up in the upholstery segment and I would say that both of our acquisitions are at or above the segment level's performance in the retail segment with the [Hager] acquisition and the U.K. acquisition in the upholstery segment. So both are very profitable businesses and there's probably a little more risk to the U.K. given what's going on there with Brexit and all, but we think we can maintain and over time enhance the sales and profitability of both of those businesses.
Budd Bugatch: And the U.K., the U.K. acquisition, are you selling product into the U.K. for them? How is that working? Are they manufacturing? What's the -- how is that…
Mike Riccio: So our partners are a company called Furnico and they've had a business under that name and they have a manufacturing plant in the U.K. that they will continue with. They've been our distributor of La-Z-Boy products in U.K. and Ireland for eight or nine years and then buildup of a pretty substantial business. So we supply them La-Z-Boy product, which they resell to the customers and that's the majority of their business Budd. There's a small portion that we license the La-Z-Boy name on the Furnico product that they make actually in the U.K. primarily for the high street customers, but I think its 85% the product that we do we make overseas and important and 15% the Furnico product.
Budd Bugatch: But this is product coming out of your Thailand operation, goes to the U.K. and that is about…
Mike Riccio: It comes out of Thailand. It also comes out of a partner we have in China that makes product for other of our international licensee under the La-Z-Boy name.
Budd Bugatch: And you're not buying the Furnico manufacturing facility?
Mike Riccio: We are not.
Budd Bugatch: Okay. Thank you very much. Great quarter. Have a good luck on the balance of the year.
Mike Riccio: Thank you.
Operator: [Operator Instructions] The next question is from the line of Anthony Lebiedzinski with Sidoti and Company. Please proceed with your question.
Anthony Lebiedzinski: Good morning and thank you for taking the questions. So I was actually a little bit pleasantly surprised about the October trends improving versus August and September or even with all the pre-election jitters and so on. So can you tell us if the trends that you've seen in October and November, have those been consistent in both upholstery and casegoods or is upholstery doing significantly better than casegoods? Any sort of color on that, that would be appreciated.
Kurt Darrow: I think our position today on things is we really can't explain the improvement in October. We were glad to see it, but there wasn't anything in the market that signal that things were changing in that direction, but there has obviously been a pickup in our industry across the Board and the consumers being out shopping more for furniture since the election has been over. So with us it started with a pretty strong Veterans Week and weekend and it continued right through the Thanksgiving holiday. So there's a little better pace to business obviously than we saw in the summer. We're not yet ready to make a bet that is going to continue for six months, but it is a welcome surprise that the consumer feels a little more confident about buying big-ticket items.
Anthony Lebiedzinski: Got it. Okay. So just switching back to the quarter, could you share any metrics for traffic versus ticket for the retail segment?
Kurt Darrow: We don't give exact numbers, but as this is a trend that we've been on like most retailers, our traffic is down from previous year, not substantially, but it's down, but we're getting increases by a better conversion rate and a higher ticket that's driven primarily by our in-home and our customization. So we continue to work on that because we believe the traffic is going to stay down given the changing research patterns of consumers, not visiting as many stores, but doing all her work on the Internet to determine a couple places she may shop for furniture.
Anthony Lebiedzinski: Got it. And lastly in your 10-Q, you mentioned that the upholstery segment had some issues, there was an issue, but you were phasing out frames and fabrics, Where are you with that process now?
Kurt Darrow: I think our call there is we were perhaps a little more aggressive this quarter with making sure we dealt with obsolescence and things of that nature. It's a common -- it's a common occurrence on our businesses. We have line changeovers in all that and we just -- we just are taking a little more aggressive stance of moving things through and not letting it accumulate.
Anthony Lebiedzinski: Got it. All right. Thank you very much.
Kurt Darrow: Thank you.
Operator: Thank you. At this time I'll turn the floor back to Kathy Liebmann.
Kathy Liebmann: Thank you, everyone for participating on our call this morning. Should you have any follow-up questions, please give me a call. I will be available later today. Have a great day.
Kurt Darrow: Thank you.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect your lines at this time.